Operator: Good day, everyone, and welcome to the Jack in the Box Incorporated's Third Quarter Fiscal 2018 Earnings Conference Call. Today's call is being broadcast live over the Internet. A replay of the call will be available on the Jack in the Box corporate website starting today. At this time, for opening remarks and introductions, I would like to turn the call over to Carol DiRaimo, Chief Investor Relations and Corporate Communications Officer for Jack in the Box. Please go ahead.
Carol A. DiRaimo - Jack in the Box, Inc.: Thank you, Iris, and good morning, everyone. Joining me on the call today are Chairman and CEO, Lenny Comma, and Executive Vice President and CFO, Lance Tucker. In our comments this morning, per share amounts refer to diluted earnings per share and operating earnings per share is defined as diluted earnings per share from continuing operations on a GAAP basis, excluding gains or losses from the sale of company-operated restaurants, restructuring charges and the impact of tax reform on the company's deferred tax assets as well as the excess tax benefits from share-based compensation arrangements, which are now recorded as a component of income tax expense versus equity previously. Adjusted EBITDA represents net earnings on a GAAP basis, excluding discontinued operations, income taxes, interest expense, gains or losses from the sale of company-operated restaurants, impairment and other charges, depreciation and amortization and the amortization of franchise tenant improvement allowances. Free cash flow is defined as cash flow from operations, including tenant improvement allowances less capital expenditures. Our comments may include other non-GAAP measures such as restaurant operating margin, restaurant-level EBITDA, franchise margin and franchise EBITDA. Please refer to the non-GAAP reconciliations included in the earnings release. Following today's presentation, we'll take questions from the financial community. Please be advised that during the course of our presentation and our question-and-answer session today, we may make forward-looking statements that reflect management's expectations for the future, which are based on current information. Actual results may differ materially from these expectations based on risks to the business. The Safe Harbor statement in yesterday's news release and the cautionary statement in the company's most recent Form 10-K are considered a part of this conference call. Material risk factors, as well as information related to company operations, are detailed in our most recent 10-K, 10-Q and other public documents filed with the SEC. These documents are available on the Investors section of our website at www.JackintheBox.com. A few calendar items to note this morning, our fourth quarter and fiscal year ends on September 30 and we tentatively plan to announce results on Monday, November 19, after the market close. Our conference call is tentatively scheduled to be held at 8:30 AM Pacific time on Tuesday, November 20. And with that, I'll turn the call over to Lenny.
Leonard A. Comma - Jack in the Box, Inc.: Thank you, Carol. This morning, I'd like to address some of the key highlights from our third quarter and then share with you the outcomes of our strategic planning process. For the quarter, our operating results were in line with expectations. System same-store sales returned to positive territory. And we're pleased this momentum has continued into the fourth quarter, without resorting to deep discounting that we believe is not in the best interest of the long-term health of our brand. Contributing to the sales increase in Q3 was a new product we launched in June, Sauced & Loaded Fries, which had a $3 price point and featured ingredients like carne asada, chorizo, chipotle chicken and guacamole. Product drove an increase in average checks. Customers added it to their orders. It was a great LTL that exemplified the long-term product strategy that I'll be speaking about shortly. During the quarter, we also featured a premium Cholula Buttery Jack, which featured one of the most recognized brands of hot sauce to create a spicy, limited-time addition to our popular Buttery Jack Burger line. And we offered a couple of value promotions, a $3 bundle, featuring three tacos and a drink and a $4.99 combo, featuring Jack's Spicy Chicken Club Sandwich. We're still seeing aggressive value offerings in the marketplace and we've chosen to address it by deploying additional advertising, combined with margin-friendly value offers. In this way, we believe we remain competitive today, while protecting the brand's equity over the long term. As we did in Q2, we chose to spend an incremental $1.5 million for advertising in Q3. This additional media spend and our balanced promotional calendar help protect our margins, which are among the highest in the industry, while avoiding the potential longer-term consequences of training customers to only come to us when we are offering an aggressive deal. Delivery continued to generate an incremental lift in sales in Q3 and is proving to be a popular option for both our dinner and late night guests. We're now offering delivery in all of our major markets, with more than three-quarters of our system being served by one or more delivery companies, including DoorDash, Postmates and Grubhub. As for our mobile app, it continues to perform well in our expanded test. On average, we're seeing a higher ticket with mobile orders and we expect to begin rolling it out across the system by year-end. Moving on to refranchising, our franchise mix now stands at approximately 94% and we continue to make significant progress toward creating an asset-light business model. With the sale of one additional restaurant in the fourth quarter, we will complete our refranchising initiatives. We remain committed to returning cash to shareholders. We purchased $100 million of stock in the quarter and $200 million thus far this year. Let me share a quick update on where we are with the transition services agreements with Qdoba. We've already rolled off a few TSAs and other business functions are expected to transition over the next few months, while two of the larger functions, IT and accounting, are expected to extend through 2019. Finally, during our last call, I mentioned that we had engaged an outside consulting firm to assist us in building the right structure to support our long-term strategic plans. Their work was an important data point in the development of our long-term guidance. That wraps up my comments related to Q3 and fiscal 2018. I'd like to spend the remainder of my time this morning addressing the outcome of our strategic planning process. Our plans are focused on meeting the evolving consumer needs from more diverse flavors in our menu, for food that is delivered at a perceived near-zero wait time and on targeted investments designed to enhance the guest experience and maximize returns. Let's start with our menu. We'll continue to innovate around burgers and sandwiches, which comprise the core of our menu, and to meet the evolving taste of consumers. We'll innovate around uniquely flavorful, culturally relevant and affordable food. Over the years, we've built a lot of equity around products unheard of at most burger chains, like teriyaki bowls, jalapeño poppers and tacos. Expect to see more of those kinds of non-traditional items as we target an increasingly diverse population that craves a greater variety of foods and flavors. Sauced & Loaded Fries and Cholula Buttery Jack featured last quarter and the Munchie Mash-Ups and teriyaki bowls running in Q4 are great examples of where we're headed with our menu strategy. And will be unashamedly us when it comes to promoting those products. Our guests love our brand's irreverent humor and they want us to push the envelope when it comes to creatively messaging our offerings. Humor is just one way we differentiate ourselves, but expect us to promote other differentiating equities as well. You'll see this reflected throughout various media, TV, digital, in-store signage and elsewhere. Jack in the Box has always played by different rules and has always recognized that what makes us different is what makes each of us valuable. We plan to emphasize this wonderful part of our company's history and values, both internally and externally going forward. While we've historically done a good job of creating clever breakthrough commercials that leverage Jack's unique persona, it's time to up our game when it comes to other areas like technology and providing consistent guest service. Technology has changed the definition of convenience to a perceived near-zero wait time, by providing significantly more options for consumers, especially for the tech-savvy and time-starved. Rolling out our app later this year is definitely a step in the right direction, but beyond improved technology, we must simplify operations and significantly reduce complexity to drastically reduce wait times. We believe that by reducing redundant SKUs, simplifying operating procedures and upgrading kitchen equipment to more efficient and faster options, we can make it easier for our crews to deliver consistently fast, friendly and accurate service and drastically reduce the amount of variability in the overall guest experience. Here's an example. Focusing on drive-thru speed of service as just one critical component of the overall experience, we see that our bottom quartile of restaurants is over a minute slower than our system average and generate year-over-year sales that are 2% less than the top quartile. We see a sliding scale of opportunity in the second and third quartiles as well. This is a top priority. We will begin testing initiatives in this area in early 2019 and expect to roll out these changes in the back half of 2019 and into 2020. And let me share some details on several targeted investments we will make to the drive-thru and through some of our older locations. First, we've made a decision to focus on enhancing our drive-thrus, because they contribute over 70% of our sales. And as I shared earlier, they represent a sizable sales opportunity. We will implement digital menu boards that give us the opportunity to advertise and interact with guests more dynamically. We will install menu board canopies and utilize outside order takers to make the experience more personal and to facilitate speed and consistency. And we will dress up the drive-thru lane with various PoP (10:30), landscaping and modest improvements to make sure that we look crisp. From our perspective, this will be a win for the entire system and all of our stakeholders for several reasons. In about three years, we can touch over 80% of the system at a very reasonable cost per unit. Plus, we're investing in the area where over 70% of our sales are generated. We're only a fraction of what we're planning to invest per unit to remodel just 25% of our system. So, speaking of the 25%, that's the second area of targeted investment. We'll offer franchisees the option to fully remodel many of the 600 oldest units in our system. This approach combined with the successful completion of our refranchising strategy and cost-reduction measures will allow us to invest where needed for the brand's long-term success while also allowing us to return over $1 billion to shareholders in the form of share repurchases and dividends over the next four years. This is an exciting time for Jack in the Box. We can clearly see opportunities to evolve the brand to meet the consumers' new definition of convenience, add more diverse flavors to the menu, pick some of our long-standing inconsistencies in operations, capitalize on the personality and long-standing value system of the brand through advertising and brand positioning, invest in long-term health of the brand through targeted capital investments and return a significant amount of cash to shareholders. We'll attempt to achieve all of this by striking a healthy balance between the long and short-term needs of each of our major stakeholder groups. I'm excited about what the future holds. I realize it will take a tremendous amount of hard work and I'd like to thank our employees, leadership team, franchisees and other stakeholders for their loyalty and commitment to our future. With that, I'll turn the call over to Lance for a more detailed look at the third quarter and an update on guidance for the year and additional details for some of the longer-term guidance related to our strategic plans. Lance?
Lance F. Tucker - Jack in the Box, Inc.: Thanks, Lenny, and good morning, everyone. I'll hit a few high points from the third quarter, then move into a discussion of our Q4 and long-term guidance. Operating EPS for the third quarter was $1 as compared to $0.79 last year. The increase was driven primarily by lower G&A costs, the impact of tax reform and share repurchases, which more than offset dilution from refranchising. Our system-wide comparable sales increased 50 basis points from the third quarter. The 60 basis point increase in company comparable sales was comprised of pricing of approximately 2.6%. Our mix remained flat and transactions declined 2%. Franchise comparable sales increased 50 basis points for the quarter. Company restaurant-level EBITDA margin increased by 430 basis points to 27.5%, restaurant-level EBITDA margin for the 138 stores we intend to keep, now that the refranchising initiative is essentially complete with 28% in the quarter down from 29.3% last year due mainly to higher labor costs and repairs and maintenance. Franchise EBITDA increased by 12.3% to $60.4 million due primarily to refranchising. G&A decreased to approximately 1.8% of system-wide sales as compared to 2.5% last year. The decrease was due primarily to $3.6 million in transition services income relating to the sale of Qdoba, which is reflected as a reduction of G&A, as well as higher costs in the prior-year quarter related to 31 franchise restaurants that the company took back. In addition, G&A benefited from lower share-based compensation and pension costs. These decreases were partially offset by mark-to-market adjustments. Tax Act reduced our federal statutory tax rate from 35% to 21% effective January 1, resulting in a blended statutory federal rate at 24.5% for the fiscal year. Including state taxes, our adjusted Q3 effective tax rate was 27.1%, which excludes a $0.03 unfavorable impact related to the Tax Act and a $0.04 favorable impact from the accounting change for excess tax benefits from share-based compensation. Our estimated effective tax rate for the full fiscal year is approximately 28% to 29%, again excluding the impact of the onetime adjustments from the Tax Act and the accounting change. We repurchased 1.2 million shares of stock for $100 million during the quarter and weighted average shares outstanding decreased by nearly 5% versus last year. Currently, we have approximately $181 million available for share repurchases and our leverage ratio was approximately 3.6 times at the end of the quarter. In the third quarter, we refranchised 42 units, bringing our year-to-date number to 127. Year-to-date proceeds of $88 million include $64 million of short-term notes receivable, in which we've already collected $33 million. As of today, we are now approximately 94% franchised. Now, moving on to guidance, we will provide our Q4 and fiscal year 2018 guidance followed by our long-term goals separately. Starting with comp sales, we expect system-wide comparable sales in Q4 to be up 1% to 2%. Through the first four weeks of our fourth quarter, we are tracking within this range. Our fiscal year guidance in the press release is unchanged except for the following items. Based on our year-to-date results and considering our new fourth quarter guidance, we lowered our system full-year comparable sales expectations flat to up 0.5%. We now expect G&A for the year to approximate 2.2% of system sales with the reduction due primarily to the reimbursement of Qdoba-related support costs under our transition services agreements. Partially offsetting our lower G&A expectations is incremental advertising spend in the fourth quarter, resulting in expected SG&A of approximately 12% of revenues. We lowered our guidance for tenant improvements between $15 million to $20 million based on expected payments for the balance of the year. And lastly, we reduced the number of expected unit openings to a range of 15 to 20 as the opening of more than a half dozen restaurants has been pushed back into the first part of 2019. Now, moving on to our long-term guidance, I won't repeat everything that's in the press release, but I will provide some additional color on some of the key drivers. We took the guidance out to fiscal 2022 in order to reflect a more steady state following the completion of our drive-thru enhancement and remodel initiatives. We expect system restaurant sales to reach $4 billion in 2022, driven by low-single-digit same-store sales and low-single-digit unit growth annually over the next four years. Our company restaurant-level EBITDA margins are expected to be in the 25% to 27% range, down from the current run rate as nearly 80% of our stores are in California and impacted by scheduled minimum wage increases annually through 2022. We expect G&A as a percentage of system-wide sales to steadily decline to approximately 1.9% beginning in fiscal 2021. We actually expect to hit the run rate of 1.9% during 2020, but do not expect to be at that level for the entire year. TSA agreement related to Qdoba will continue for certain functions through 2019. And as Lenny mentioned, after a thorough review of our organizational structure with an outside consultant, we believe this is the prudent level of G&A to support our long-term goals given our size. We expect to normalize capital expenditures to approximate $20 million to $25 million annually over the next four years, which includes technology and equipment investments. In addition, we expect to spend an incremental $10 million to $15 million in each of 2019 through 2021 or a total of approximately $30 million to $45 million on company restaurant drive-thru enhancements and remodels and improvement allowances, totaling approximately $90 million to $100 million, are included in the plan or roughly $25 million to $30 million per year, again, through fiscal 2021. As Lenny mentioned, we believe these investments are targeted to drive the highest return while improving our brand perception and relevance. In total, our drive-thru enhancement remodel programs will now touch over 80% of our system versus the 25% or so previously communicated. Importantly, this also answers a question we know many of you have had regarding future capital requirements beyond the 600 or so restaurants we've spoken about over the last few years. We believe this plan satisfies the major investments that are needed to maintain and improve the brand's image for a number of years to come, allowing us to reach our steady-state, asset-light model beginning in 2022. We expect to have a new capital structure in place in the first half of fiscal 2019, which should enable us to increase our leverage to approximately 5 times EBITDA by the end of the 2019 fiscal year depending on market conditions. Taking all these assumptions into account, our fiscal 2022 key targets include system-wide sales of $4 billion, adjusted EBITDA of approximately $300 million and free cash flow of approximately $175 million. And as Lenny noted, we expect to return over $1 billion to shareholders over the next four years under this plan. That concludes our prepared remarks. I'd now like to turn the call over to the operator to open it up for questions. Iris?
Operator: Thank you. We will now begin the question-and-answer session. Thank you. Our first question is coming up shortly, one moment. Our first question is coming from John Glass. Your line is now open.
John Glass - Morgan Stanley & Co. LLC: Thank you. Good morning. Could I just ask you about the capital plan as you think about the next four years? And I appreciate now you've sort of expanded to include some drive-thru remodels, for example, but you still have – I think maybe just review what form the asset base will be in at the end of this? It sounds like there's 600 stores in the franchise base are going to get touched, the oldest stores, and then you're going to enhance the drive-thrus in a number of stores, but that still leaves about 1,600 stores that maybe are somewhat older in the face of the industry that's upgrading their assets fully. Where does the rest of the system stand? And do you think this is comprehensive enough or that you have to come back at some point and say that you do need to remodel more of those stores that weren't touched, the stores themselves versus the drive-thru?
Leonard A. Comma - Jack in the Box, Inc.: Yes, John. A couple things that we want to consider as we look at how we invest money in the future. One, as you look at those stores that are just going to be investing in the drive-thrus at this point, we do think that with the lion's share of the business going to the drive-thru, that's the most prudent place to invest. And as we evaluate how the consumers' behavior is changing, particularly around delivery and app-related purchases, which are essentially order ahead and pick up, we want to make sure that whatever investments we make in the future are actually fulfilling that consumer need. We're not so sure that major investments in the newer of our building styles outside of those spaces is going to be the most prudent thing to do in the future. So, we want to have some time to evaluate that, but in the event that we do anything to those buildings, it would be way more modest in nature as compared to what we did to the older facilities.
John Glass - Morgan Stanley & Co. LLC: Thanks. That's helpful. And just as a follow-up, Lance, how do you think about return of capital in this – and the format the return of capital plan is going to take, what roles does dividend play versus just share buyback? And as you think about share buyback, do you immediately capitalize on a lower share price, presumably at the beginning of the plan, so it's front-loaded or is it more pro rata as you think about the next four years?
Lance F. Tucker - Jack in the Box, Inc.: So, I'd say a couple of things here. I think the bulk of the return of cash will be through share repurchases. Our dividend policy has been historically to keep the yield between about 1.5% and 2%. And I don't really expect any major change to the policy nor do I expect a big one-time dividend or kind of an outsized increase to the regular dividend rate. So, I think most of it would, in fact, be through share repurchases. And from a timing standpoint, the expectation, subject to market conditions and whatnot, is that it would be front-loaded, as we get the leverage structure in place and then raise our leverage levels up to around 5 times by the end of fiscal 2019. Most of that would go towards share repurchase.
John Glass - Morgan Stanley & Co. LLC: Good. Okay. Thank you.
Operator: Our next question is coming from Brian Bittner. Your line is now open.
Brian Bittner - Oppenheimer & Co., Inc.: Thanks. Hey, guys. On the same-store sales, it's good to see you getting healthier trends without deep discounting here in this quarter, but the one area that there still looks to be tremendous opportunity is reestablishing the value within your popular taco offering. You've talked about it before most recently. Is there any update on this and when it could be an incremental driver to the sales from here?
Leonard A. Comma - Jack in the Box, Inc.: We're currently testing several taco-related offers. And we're trying to establish a position with tacos that provides the additional value to the consumers that they have known in the past, while at the same time being very mindful of our franchisee margins. So, we may not ultimately get back to à la carte tacos at $0.99. We may bundle them or do some other add-on related features to the tacos to reestablish value. And that conclusion still remains to be seen as we complete the test. But we do we see a need overall to establish value in the marketplace. And I think that it's probably going to be not just a silver bullet with tacos, but more of a continuum of prices below the $5 price point with offers similar to the Munchie Mash-Ups. So, it is often loaded (26:07) in combination with other taco-related offerings. So, it will probably be a more balanced approach than just tacos, simply because if we were to just address it through tacos, it wouldn't be as margin-friendly to the franchisees, who are experiencing a lot of concerns with the rising cost of labor at this time.
Brian Bittner - Oppenheimer & Co., Inc.: Okay. Thanks for that, Lenny. And then, just as it relates to long-term targets, I think a lot of the metrics are pretty straightforward. But one question that stands out for me is just on the G&A and talking about a steady decline to the 1.9%, I was thinking that, that was a metric that was achievable just simply by rolling off the TSAs. So, the question is why isn't the G&A goals maybe a little bit more aggressive? And the steady decline suggests that you're going to still be above 2%, I guess, over the next year and a half. Is that correct? And if so, why?
Lance F. Tucker - Jack in the Box, Inc.: Brian, it's Lance. I'll start with that and let Lenny jump in if he'd like. But for one thing, as Lenny actually noted in his script, the TSA does not completely roll off really until the end of 2019 for a couple of very major groups, which would be the IT and the finance and accounting groups. And so, without going into a whole lot of detail, when you reduce G&A, one of the things you do is you do flatten the organization somewhat and some of that flattening can't be done until those TSAs are rolled off. There's more to it than just the specific TSAs rolling off themselves. In addition to that, we have initiatives that we need to accomplish for the long-term health of the business. And in order to do that, we wouldn't do ourselves any favors, so to speak, by making those changes all in one fell swoop and as quickly as we possibly could. We're going to hit the 1.9% or so or under 2% in fiscal 2020. So, we think that is a measured and reasonable rollout for what we're trying to accomplish to balance, as Lenny put in his script, growth for the long term, but making sure we're hitting these cost-reduction targets.
Leonard A. Comma - Jack in the Box, Inc.: And then, Brian, one of the things that we were very conscious of, and I was particularly concerned about as we got into this restructuring, this will be fourth or fifth time that we've kind of made it go with this and a lot of it in the past was as a result of refranchising we were doing. I felt that we needed to bring someone in from the outside that wouldn't have sort of a biased look at the organization, but that would help us build from really a zero base what an organization of our size and scale should be. And what we see in the work that was produced by the outside partners is that the absolute values are very close to our targeted outcomes. We feel really good about the landing place and the timing, as Lance said, is just a function of some of the initiatives and then the roll-off of the TSAs.
Lance F. Tucker - Jack in the Box, Inc.: And, Brian, this is Lance. I'd like to jump in and want to add one more thing if I may. And I'll – this kind of addresses G&A for this quarter as well. We look at G&A on an annual basis. It can be choppy quarter-to-quarter. So, one thing I want to caution everybody again is you're going to see quarters that spike up a little bit, you're going to see quarters spike down a little bit, but G&A tends to hit at different times throughout the year. So, I just want to make sure as we're on this journey to getting below 2% over the next 18 to 24 months, whatever it takes and as you see a quarter go up a little bit or go down a little bit, don't automatically assume that there's some major change. We'll let you know if there is a major change to what we're doing and we don't inspect those, but just bear in mind it can be choppy and that's, in fact, why you see 1.8% this quarter. We just had some unusual things and we expect it to jump back up a little bit next quarter.
Brian Bittner - Oppenheimer & Co., Inc.: Okay. Thank you.
Operator: Our next question comes from David Tarantino from Robert W. Baird. Your line is now open.
David E. Tarantino - Robert W. Baird & Co., Inc.: Hi. Good morning. My question is about the system sales growth target that you laid out, $4 billion. I think that requires about 3.5% system sales growth per year, if my math is correct. And that's higher than what you've been running. So, I guess, Lenny or Lance, could you provide some perspective on how to think about that target? And then, secondly, specifically, can you talk about how unit growth plays into that, because we haven't seen much net unit growth in the system in recent years? So, could you talk about kind of what you're expecting to occur over the next few years on that line? Thanks.
Leonard A. Comma - Jack in the Box, Inc.: Yeah. I think, at the end of the day, the lion's share of the increase in sales will be at our existing units and we really think that that'll be driven by a combination of the enhancements and improvements to the drive-thru experience as well as the menu strategy. When we look back over this past year and evaluate the success that we found with any of our products, they fit into what I described in my planned remarks as our new menu strategy and in each case, when we're really featuring the flavors, that are becoming more and more popular throughout several segments of the restaurant business, but in large part, are changing due to the changes in our population. We featured those types of flavors. We're finding a lot of success. In the segment that we're in, we need to do that at a reasonable price that we're providing the value. I really think the sweet spot for us is going to be using the brand equity that we have to reach beyond burgers and fries to deliver these types of products to the marketplace. We intend to do more of that. We're doing it by featuring the chicken and steak teriyaki bowls right now and also the Munchie Mash-Ups. But we think that that will prove to be successful because that's where we've seen success in the recent past. In addition to that, when you look at the speed of service opportunity, it's huge. I mean, for us, we've had, I think, these inconsistencies, but more importantly, we've allowed a large percentage of our restaurants to underperform in the throughput through the drive-thru. We think that in order to get a more consistent performance, we can't just ask our franchisees to sort of step it up and deliver. We've got to deliver on their behalves by making the operations simpler and easier to execute. We're able to do that, our new COO, Marcus Tom, has come in, I think identified a lot of low-hanging fruits that will allow us to reach the targets that I laid out for you earlier. And I think these are going to provide big opportunities throughout the franchise and company restaurants to grow our sales. That data is already present today as we simply evaluate from quarter-to-quarter the best versus the second and third and fourth quarters. So, we know that the opportunity is there and that's happening without any of the enhancements that Marcus Tom has laid out. So, we think that if we invest in this area and make it easier for our crews, it'll be much easier for us to capture that opportunity. And then lastly, when we look at our brand voice, over the last couple of years, we really shifted our voice to be less irreverent and to focus primarily on the promotion of hamburgers. I think that the menu strategy combined with really getting back to our roots as an irreverent brand and taking it one step further in the brand messages, helping people to understand who we are and what we're all about as a company, we think that those things combined are really what drive same-store sales. And the remainder would come from new unit growth, driven largely by operators who have development agreements with us throughout existing and new markets. That's how we see ourselves getting there.
David E. Tarantino - Robert W. Baird & Co., Inc.: Great. And then, Lenny, just a follow-up on the CapEx you're putting into the drive-thrus in a lot of your locations. Have you tested that idea? And if you have, can you maybe elaborate on what you've seen when you make that investment?
Leonard A. Comma - Jack in the Box, Inc.: Yeah. We haven't shared details on that and we've tested components of what will end up being the full drive-thru experience. But what you'll see us do in 2019 early is to take all of those components within one unit and execute them. So, we are seeing a lift where we have remodeled our locations, particularly the lift in the drive-thru has been significant. And we also see, when we implement things like outside order takers, what that can generate for us is essentially it lengthens the stack on the drive-thru lane and allows us, with a greater sense of urgency and consistency, to capture the orders of the guests that are entering into that line. So, we do have proof positive of what the components individually can do for us, but what the next big step is to bring it all together.
David E. Tarantino - Robert W. Baird & Co., Inc.: Great. Thank you very much.
Leonard A. Comma - Jack in the Box, Inc.: Welcome.
Operator: Our next question from Dennis Geiger from UBS. Your line is now open.
Dennis Geiger - UBS Securities LLC: Great. Thanks for the question. Just two, first just on the long-term targets. A lot of good color on the comp drivers there, Lenny. Is there an acceleration expected there as we look out over the next couple of years either on the unit growth piece or more so on the comps or is it just going to be up and down, et cetera? Just, one, curious there. Just the second piece, just a little more on value in sort of the under $5 transactions, if you've liked what you've seen thus far from what you rolled in the third and currently in the fourth quarter and if any tweaks need to be made, given the way that the current competitive environment is set up, anything we could see differently or you feel you may have to do different on that value price point going forward? Thanks.
Leonard A. Comma - Jack in the Box, Inc.: Yeah. Good question. First of all, we do expect some acceleration in both the comps and unit growth to achieve our numbers. And I would just say that what we've been doing past the 18 months has left a lot on the table. I would use one example. I think one of the best advertising campaigns we had last year was actually rolled out over the Super Bowl campaign and it was the Food Truck Series. What we did with Martha Stewart, I think, was brilliant. It got a lot of buzz. It was breakthrough advertising. However, what we produced in the form of the sandwiches missed the mark. They weren't flavorful enough, it wasn't enough protein, it was way too much bread content and as a result, the consumer, after initial trial, did not continue to come back for the sandwiches. So, clearly, we can see where we made our mistakes and we can also see where we found success. So, I think the team is well aligned on where we're finding success and how to develop products in the future and how to activate those products. And I think that what we're doing right now with the chicken teriyaki and steak teriyaki bowls are great examples of what the future holds there. As far as value, what we see is when we get under the $5 price point, we can actually find a lot of success with the continuum of prices below $5 versus just targeting $1 items. In fact, when we target $1 items, we have limited success outside of various taco features that we've had at times. When we get into that $2 to $4 price range, we're actually finding a lot of success and that's exemplified by products like the Sauced & Loaded, the Munchie Mash-Ups and even promotions that we've done in the past with our breakfast platters. So, that's more of the sweet spot for us. I think the consumers sort of respects that they're going to get value for the money versus just $1 items and they also expect that the food will be flavorful versus what oftentimes happens at the dollar price point across our industry is that they're the less flavorful, just fill-me-up type foods. So, I think that's really the place for us to emphasize and the consumer certainly has been responsive when we do.
Dennis Geiger - UBS Securities LLC: Great. Thanks a lot.
Operator: Our next question comes from Jeffrey Bernstein from Barclays. Your line is now open.
Pratik Patel - Barclays Capital, Inc.: Hi, guys. This is Pratik on for Jeff. Just wanted to touch on cash usage once you transition to an asset-light model. Beyond the $1 billion-plus that you plan to return through fiscal 2022, how would you prioritize the use of cash beyond that? It seems like to you're going to generate $175 million in free cash flow beginning in fiscal 2022 and historically, you haven't let a lot of cash sit on the balance sheet. So, should we assume virtually all of that to return to shareholders? Thanks.
Lance F. Tucker - Jack in the Box, Inc.: This is Lance. I'll start and I'll let Lenny jump in. Certainly, don't see any changes to our traditional model of not letting a lot of cash sit on the balance sheet. So, I think your priorities would certainly be to invest as we need to invest to grow the business. I think we've laid out a prudent plan for doing that over the next three or four years and then return the balance to shareholders and we'll make sure we've got, I'll call, a good amount of cash on the balance sheet that we manage it pretty tightly here and I don't know why that would change.
Leonard A. Comma - Jack in the Box, Inc.: I agree. I think essentially, it's just competing for capital. And, ultimately, if we find a place where we believe the investment drives a greater overall return, then we will make that investment. And barring that, we'll continue to use that cash to return to shareholders.
Pratik Patel - Barclays Capital, Inc.: That's great. Thank you very much. Very helpful.
Operator: Our next question comes from Chris O'Cull from Stifel. Your line is now open.
Chris O'Cull - Stifel, Nicolaus & Co., Inc.: Thanks. Lenny, I know you're in the early stages of remodeling restaurants and doing the drive-thru enhancements, but can you tell us whether the stores or drive-thrus will be closed for a period during this process or if you're anticipating any sales impact during the construction? And maybe just also your approach to prioritizing markets and stores?
Leonard A. Comma - Jack in the Box, Inc.: Yeah. So, when we do the vast majority of the older locations, the drive-thrus will remain open just about the entire time. If there is a reason to close them, it would be for a very brief timeframe. However, there's about 150, 160 stores or so that we will do a more major remodel where we'll change completely the roofline and in some cases, completely remove the roof and replace it. Those will have to have a complete shutdown for a longer period of time. Outside of those, we'll keep drive-thru open.
Lance F. Tucker - Jack in the Box, Inc.: And, Chris, maybe real quick (41:39), if they're going to be closed for a significant amount of time, they will be removed from our comp base.
Chris O'Cull - Stifel, Nicolaus & Co., Inc.: Okay. Great. And then, just one – Lenny, one of the larger players recently admitted they hadn't been aggressive enough with deal promotions. They plan to be more aggressive, it sounds like, the rest of the year. Do you think the company can reverse the transaction declines without being more aggressive? And at what point does it become a higher priority to address transaction declines?
Leonard A. Comma - Jack in the Box, Inc.: I think it really comes down to this. We look at where we've lost the transactions. There may be a small percentage of those transactions that we're never going to get back. For example, if we can't reestablish an à la carte $0.99 two taco price, we probably won't ever completely bring back the transactions associated with that longstanding offer. However, if I can implement things like the Sauced & Loaded and the Munchie Mash-Ups at a higher price point that are more margin-friendly and I can grow that business over time, it's probably a healthier place to be, particularly with the rising cost of labor. So, I think it's really about not just looking at transactions in an absolute fashion, but also looking at healthy transactions that grow the business profitably and focusing on the four-walls economics over the long term by reevaluating how we actually use our comps to grow profit. So, transactions are important, but I would say that we need to also think about, particularly for Jack in the Box, where we're able to sell more mid-tier and top-tier products, how we use our marketing and product promotions to grow steadily and profitably.
Chris O'Cull - Stifel, Nicolaus & Co., Inc.: That's helpful. Makes sense. Thanks.
Operator: Our next question comes from Alexander Slagle from Jefferies. Your line is now open.
Alexander Russell Slagle - Jefferies LLC: Thanks. Question on the increased ad spending, if we should expect a similar level of incremental spend in the fourth quarter and whether you expect to utilize that strategy in 2019 and perhaps if there's any incremental spend being baked into the long-term guide.
Lance F. Tucker - Jack in the Box, Inc.: Alex, it's Lance. I'll start and then let Lenny jump in if he'd like. In Q4, as I've noted in my script actually, we do expect to again have incremental dollars that the company is going to contribute towards advertising. I would say it would be at least as much as we did in the third quarter, maybe a little bit more. I don't think it would be a ton more. As you look out into the future, we would not expect to at least plan to make those kind of contributions. And if we need to and we think it's right for the business and it's the right way to make sure that we're driving sales, then, certainly, we're going to make that decision as we go, but right now we don't have significantly higher advertising baked in than we've had in the past.
Leonard A. Comma - Jack in the Box, Inc.: I think really what drives this is the comps. At the end of the day, when you put a lot into your advertising, and again I'll focus on the Super Bowl campaign, you put a lot into it, but you don't get the return in the form of the comps and that sets you back and at that point, yes, we would look to sort of make up some of those gaps at times if we didn't find it through other promotional activity throughout the year, but I don't expect that to be the norm.
Alexander Russell Slagle - Jefferies LLC: Great. Thanks. And, Lance, another one for you, the rental income is a pretty big jump during the third quarter, even considering the recent refranchising, so just wondered if you could update us on the percentage of franchise stores that you receive rental income on and if maybe some of these recently refranchised stores had higher overall rental rates per store?
Lance F. Tucker - Jack in the Box, Inc.: Alex, I believe we're at (45:41) about 90% of the stores from whom we are getting rental income. To be quite honest with you, that's probably, give or take, just a little bit, because I don't know all of these numbers quite yet, but the other piece of it is we have really not increased rental rates at some of the stores that have been refranchised or have higher levels or higher sales levels and then, certainly, as you see comps go up in the quarter, like you saw this quarter, that is going to contribute to higher rental income as well.
Alexander Russell Slagle - Jefferies LLC: Got it. Thank you.
Operator: Our next question comes from Gregory Francfort from Bank of America. Your line is now open.
Gregory R. Francfort - Bank of America Merrill Lynch: Hey. I got two questions, I think both for you, Lance. Just one is what are your thoughts on the 5 times, what are your thoughts on doing that through securitization versus some other form of financing? And then, the other one, I guess, is either for Lance or for Lenny, just any big working capital opportunities within your free cash flow guide, any sort of ability to kind of draw forward either the schedule of royalty payments or kind of any opportunity there would be helpful.
Lance F. Tucker - Jack in the Box, Inc.: Greg, it's Lance. I'll take both those. So, as it relates to the leverage structure, we cannot get to 5 times outstanding with your typical Term A pro rata kind of debt. So, we will be moving to one of the other structures that are going to enable us to get to that 5 times. But we'll share the details of what we do when we actually implement it. So, I'm not going to give the specifics around that right now, other than to tell you it will have to be something other than what we have in place currently. As far as working capital, I really don't see a whole lot of opportunity to do a lot there. Certainly, wouldn't bring royalties forward or something. We'll do our best to manage working capital, as we always do, and manage it tightly, but no initiatives, as it were, that would lead us to try to work on working capital in that fashion.
Gregory R. Francfort - Bank of America Merrill Lynch: Great. Thank you.
Operator: Our next question comes from Andrew Charles from Cowen and Company. Your line is now open.
Andrew Charles - Cowen and Company, LLC: Thank you. Lenny, in the context of trying new value angles, can you talk about the genesis of last week's daily deals promotion and the impact this drove on the quarter-to-date trend that you shared?
Leonard A. Comma - Jack in the Box, Inc.: Yes. The daily deals is a test and we've actually had a couple different versions of that in the marketplace. I don't know that we'd want to share any details on that at this time, because we're still sort of working through what the end game would be, but essentially, we're evaluating a lot of things. We're evaluating everything from daily deals to add-on menu to snack menu. So, we want to make sure that we address this value component of our business the right way, but the only way to truly know is to put some things in front of the consumer. Those are really early stages of a few things that we've tried. There are some pieces of it that are encouraging. There are some pieces of it that, quite frankly, aren't working at all. So, we still have to spend a little bit more time on that. And I would suggest that we'd probably have a few more tests that will be in place before we finalize it.
Andrew Charles - Cowen and Company, LLC: Sure. That's fair. Okay. And then, Lance, I know you guys are virtually at the 95%, really are, with one store franchising in the last quarter. Relating to the long-term targets for gross openings, how many stores were cultivated under development agreements tied to the refranchising activity and when would expect these to start to open?
Lance F. Tucker - Jack in the Box, Inc.: I don't know the exact numbers there to be honest with you, but I can tell you, our pipeline is very healthy. I do know the total numbers there and I think a lot of those came out of the refranchising. So, we feel like we've got at least a couple of years, if not more, kind of in the pipeline and then beyond that. I'll let Lenny jump in if you have any other details.
Leonard A. Comma - Jack in the Box, Inc.: Yeah. What we hear from our franchisees is that, particularly in new markets, in fact, I just met with former franchisees who runs the Denver market yesterday and as he was sharing with me what the opportunities are, he said, look, we've got opportunity to grow in Denver. He has grown the sales there significantly since he has taken over and is excited about the opportunity to invest and grow that market. And he was also pretty honest with me that, look, the way we had run that market for quite some time operationally was just not good enough. We weren't consistent enough. And he suspects that, that turned off a lot of the guests and hampered some of the growth opportunities that he believes he can reverse. So, we hear a similar story from other franchisees, not just the new markets, but also in existing markets. So, there is an appetite there. And essentially, what they want is a great design and a reasonable cost. They're asking for some variability in the size of the locations that we'd allow them to build, because they're finding real estate particularly in existing markets that may not always be the biggest pieces of real estate, but that certainly give them an opportunity to target our consumer and we are open to all of that. So, we're going to provide some flexibility there to allow them the growth options that they need and we'd suspect that the pipeline will continue to grow.
Andrew Charles - Cowen and Company, LLC: Thanks for that. And just my last question. Looks like 2004, 2010, and 2016 were all fiscal years of 53 weeks. So, if we continue that six-year cadence, will this just – 2022 also has an extra week for modeling?
Carol A. DiRaimo - Jack in the Box, Inc.: I believe so. If the press is not correct, I'll correct that publicly.
Andrew Charles - Cowen and Company, LLC: Very good. Thanks, guys.
Operator: Our next question comes from Karen Holthouse from Goldman Sachs. Your line is now open.
Karen Holthouse - Goldman Sachs & Co. LLC: Hi. Thanks for taking the question. So, another one on the plans to accelerate unit growth on the franchisee side. With the pipeline that you have in place or expectations of continuing to build it, is there any sort of royalty where we've heard discounts built into that that we should be thinking about when we're modeling forward royalty rates or it's incentives, not really, if it's the right word?
Leonard A. Comma - Jack in the Box, Inc.: Yes. We do – for new growth, we do provide royalty incentives for the franchisees. That's probably one of the more competitive incentives in the marketplace. And the biggest part of the reason why our franchisees are so interested in growth. So, for the first couple of years, you see that relief and then it sort of ramps up to normalized rates.
Karen Holthouse - Goldman Sachs & Co. LLC: And some of the – yeah, the QSRs who are trying to ramp unit growth have talked about pretty compelling AUVs on new units versus the same-store base. And is it your expectation that there would be any sort of positive mix shift associated with store growth or are there other dynamics between core and new markets or things like that that would make that not the case?
Lance F. Tucker - Jack in the Box, Inc.: Karen, it's Lance. We have not made any of those assumptions as we've modeled things going forward at this time.
Karen Holthouse - Goldman Sachs & Co. LLC: Great. Thank you.
Lance F. Tucker - Jack in the Box, Inc.: The other thing just to jump in on the previous question, if I may, real quickly, we do not have any 53-week period throughout this four-year period we're talking about. So, 2022 is not a 53-week period, is what I'm being told by my team.
Operator: Our next question comes from Robert Derrington from Telsey Advisory Group. Your line is now open.
Robert Mashall Derrington - Telsey Advisory Group LLC: Yeah. Thank you. Lenny, when we look at the product innovation that Jack has had this year with the Food Truck Series sandwiches that were introduced early in the year, that was a completely new product for Jack. The teriyaki bowls would seem, I think, to many to be a dramatically different product is a new – is a product that Jack already sold, but appears to be substantially improved and the quality of the offering within that. When we look forward at your new food pipeline, should we be thinking more reformulations of what's on the menu like the teriyaki bowls or should we be thinking more outside the box, like the Food Truck Series sandwiches were?
Leonard A. Comma - Jack in the Box, Inc.: Yeah. It's actually a perfect question, because it's a little of both. So, what we've done is we've separated our year into essentially several calendar windows. I wouldn't give a specific number. I wouldn't want my team not to believe that they could slightly modify that if necessary, but there's a good number of marketing windows throughout the year. And we've actually targeted how many of those windows will focus on core products, which in those cases may just well be an enhancement in that core product, particularly if we're going to put it out on promotion or at least the line extension on that core product. And for the other windows, it'll be the new and innovative stuff like Sauced & Loaded and Munchie Mash-Ups. So, if you look at things like this Cholula Buttery Jack, Buttery Jacks do very well for us, but it was a great line extension and sort of enhancement to that core product. When you look at the chicken and steak teriyaki bowls, that is an enhanced product, because the amount of protein that we're giving you and the sauce and vegetable and rice to protein ratio has been shifted, so that it really does deliver a high-quality item to the marketplace that isn't traditional for burger chains. So, to your point, I think you should expect both of those things to happen, new innovative products that focus on some of these sort of culturally inspired flavors at times and then also core products that will come out as either line extensions of new flavors and/or simply enhancements of better products come into the marketplace.
Robert Mashall Derrington - Telsey Advisory Group LLC: As a quick follow-up on the teriyaki bowls, it's clearly a much better product I guess in my view. When we look at that product, how hard will it be to stimulate trial for new guests for something like that coming out of a burger chain like yours?
Leonard A. Comma - Jack in the Box, Inc.: Yeah. I think that's where I depend on our marketing communications team, what they are able to do and they'll place a bigger bet and they'll make a lot more noise where we know that the products are going to deliver well and it's going to draw in or has an opportunity to retain new guests that come in for trial. So, if you look at our advertising campaigns, what we do in social media and then also what we do in digital advertising, we're going to be extremely aggressive to bring in who we know are our target market, but who may be either lapsed users or users of competitive brands.
Robert Mashall Derrington - Telsey Advisory Group LLC: Terrific. Thank you.
Lance F. Tucker - Jack in the Box, Inc.: This is Lance. If I can jump in one more time here, let me clarify, on the 53rd week, we have not modeled any 53rd week impact into any of our projections. So, it looks like the 53rd week actually does fall within 2021, but it is not molded in our projections. Sorry for the confusion. And, operator, we'll take our next question.
Operator: Our next question comes from Matthew McGinley from Evercore. Your line is now open.
Matthew Robert McGinley - Evercore ISI: Thank you. On the incremental CapEx guide versus the tenant reimbursements, is that incremental $10 million to $15 million you guided for only on drive-thrus and remodels on your company-owned assets or does that include drive-thru investments for franchise stores? And on the company-owned side, how many of the 140 stores you have now will require a full remodel versus just the drive-thru upgrades?
Lance F. Tucker - Jack in the Box, Inc.: Matt, this is Lance. And so, the $30 million to $45 million is strictly meant to be the corporate or the company-owned restaurants and there are roughly 50 or so restaurants that are in need kind as a full remodel.
Matthew Robert McGinley - Evercore ISI: Okay. And for, I guess, Lenny probably, relative to the last time you gave long-term guidance in 2016, you've seen that the key unlock for comp growth was going to be around improving the guest experience and then you kind of bucketed check and remodels and things that would have a smaller impact. I don't know if you want to quantify it in the way that you did back then, but qualitatively, what do you think is different about the guidance that you gave today about what drives the comp over the next four years?
Leonard A. Comma - Jack in the Box, Inc.: I think it's really focus – if I'm just really honest, I think that the organization is way more focused today than it was capable of being back then. And I think that the focus that we have today has all of the resources as well as the financial resources, human resources and financial resources, focused in this area. And it's more likely that we will be able to find the gains associated with these investments faster. And I think that bringing in some outside prospectives in the form of a new COO and CFO have been beneficial to create some of that focus for our team as well as being a single branded entity. So, I think part of it is just focus. And then, the second piece of it is our analytics show us clearly where the opportunity is, probably more clearly than we even saw in 2016. So, what we need to do and where we need to do is just so clear to us. And with only one brand to run, I just can't see us not getting these things done.
Matthew Robert McGinley - Evercore ISI: Thank you.
Carol A. DiRaimo - Jack in the Box, Inc.: Operator, I think we can squeeze in one more question here.
Operator: Our last question comes from Matthew DiFrisco from Guggenheim Securities. Your line is now open.
Matthew DiFrisco - Guggenheim Securities LLC: Thank you so much. I just have two follow ups. With respect to the menu, I think in the prepared remarks, Lenny, you mentioned SKU rationalization potentially. And, Lance, I just wanted to sort of reconcile that with the margin guidance. Shouldn't that potentially – or you're being conservative, shouldn't that potentially have a net benefit to the restaurant margin line by doing those such initiatives? And then, the other follow up was on the capital. I missed it in the prepared remarks if any of these remodels or the drive-thru enhancements, is there going to be any sort of shared cost with the franchise community to accelerate this potentially a little faster?
Lance F. Tucker - Jack in the Box, Inc.: Matt, this is Lance. I'll take the first part of that and then Lenny speak to the second part. As it relates to our margins, we may get a little bit of margin benefit from the SKU reductions. However, we are in – particularly as you're looking at our corporate P&L, over 80% or about 80% of our restaurants are in California. There are fairly significant labor challenges here. And so, what we're giving you is kind of what we believe the blended margin is going to shake out, bearing in mind that wage inflation is 6%, 7% per year in those California restaurants.
Matthew DiFrisco - Guggenheim Securities LLC: Understood.
Leonard A. Comma - Jack in the Box, Inc.: The folks of the SKU rationalization along with the other things that I mentioned in the prepared remarks, they're really intended to create operational (01:02:02), that we can be more consistent in the way we execute more so than a margin enhancement-type initiative.
Matthew DiFrisco - Guggenheim Securities LLC: Okay. And then the capital shared cost?
Lance F. Tucker - Jack in the Box, Inc.: So, on the (01:02:19) we've given you kind of a total tenant improvement number. We're still working through some of those details as to what would be contributing, what would not be on certain thesis, but we've given you the number that we feel is appropriate based on what we expect to contribute in total.
Matthew DiFrisco - Guggenheim Securities LLC: Okay. Thank you.
Carol A. DiRaimo - Jack in the Box, Inc.: Thanks, everyone, for joining us today and we look forward to speaking with you soon.